Operator: Welcome to the global conference call of Mercedes-Benz. At our customers' request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Mercedes-Benz website. The short introduction will be directly followed by a Q&A session. [Operator Instructions] I would like to remind you that this telephone conference is governed by the safe harbor wording that you'll find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management's current views with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand over to Christina Schenck, Head of Mercedes-Benz Investor Relations and Treasury. Thank you very much.
Christina Schenck: Good morning from Stuttgart. This is Christina Schenck speaking. On behalf of Mercedes-Benz, I would like to welcome you on both the telephone and the Internet to our Q2 results conference call. I'm very happy to have with me today Ola Kallenius, our CEO; and Harald Wilhelm, our CFO. To give you more time for your questions, Ola will provide a brief introduction, followed by Harald, who will detail our financials. After that, we will move directly into the Q&A session. The respective presentation can be found on the Mercedes-Benz IR website. With that, I would like to hand over to you, Ola.
Ola Kallenius: Thank you, Christina, and good morning, everybody. In a very dynamic business environment, you can see in our Q2 results that we have produced a solid financial performance in line with what we had expected. Of course, the financial performance is affected by the tariffs. We're going to get into more details on that in this call, and Harald will drill down on it. But next to what's happening in the world, in the market, we have also been very busy and very focused on delivering our biggest product offensive and technology offensive in the history of the company. This is a journey that we have been on now for the several past years, and it's coming to fruition. The first calling card of this product offensive is the CLA, and it's now being delivered to customers. The response that we have received from customers, from dealers and industry watches around the world has been extremely positive, and we feel encouraged by this. But this is like an appetizer of a 8-course meal, where in the next 3 years, we're going to launch more than 25 individual models. And it's happening rapidly. We have presented a new CLA shooting brake, which is very important, especially for the European market, also for business customers in the European market. It's been traditionally a popular model. And at the IAA, the International Auto Show in Munich in September, only a few weeks from now, we will show you the first vehicle of our so-called Mercedes-Benz electric architecture, which ushers in a whole new era in electric mobility for Mercedes-Benz, and we're very, very excited about it. But it's not just about our main brand, Mercedes-Benz. Our friends in Affalterbach have shown a concept car, which is nothing less than spectacular. Many of you maybe ask yourself, my goodness, what is this? This performance vehicle seems unreal. Is it really real? And I can tell you this, you probably be surprised when we launched the series version of this next year, how real it is, watch this space. At the same time, our van division is also going through a historic product and investment offensive really, where we're going to replace the complete lineup of our vans in the next 2 to 3 years, and that's also around the corner. And they are equally busy compared to the passenger car people. On the customer side, I could go on for the rest of the day talking about what we're doing there, both on the physical touch points and also in the digital world. But I just wanted to highlight 2 things. We have now started the sale of the owned retail in Germany. So the first few transactions are in the pipeline here. And the interest has been tremendous, which we also view as a positive sign. And we opened at the very top of our portfolio, the first Mercedes Maybach brand center in Seoul. Should you be traveling in Korea, I highly recommend that you stop by. It is an unbelievable celebration for that product -- for those products and that brand. And last but not least, in terms of key messages here on Page 2. As you know, we have been focused over the last few years on cash flow generation. Again, Harald will go into detail, but we produced another solid quarter in terms of cash flow. If we turn to Page 3, I don't want to go into too much detail on the earnings. I just want to highlight 2 things. The free cash flow, as I just mentioned, but also in terms of the EBIT, you can see that there are 2 numbers there. That is because of restructuring. You know that we announced at the beginning of the year that we would start restructuring, especially here in Germany, especially on the indirect staff side. That's progressing according to plan, and that is why we have made some provisions for that. Moving to the next page, Page 4, dissecting the sales. Yes, the market environment is challenging, especially in China, but also through the whole tariff discussion, there was management of how to deal with wholesale in the United States that we try to do to the best of our ability, and I'm sure that will continue into the next quarter, which affects the wholesale figure in spite of the fact that the retail sales were quite strong in the U.S. in that quarter. In terms of Top-End, we stayed at a healthy 14% as a percentage of the total sales. And on the xEVs, we had slight growth. You can see that the plug-in hybrids are very successful here, and we are managing our battery electric vehicle sales in the current environment. We're watching, especially in the European environment now with the 2025 regulation in place that many market participants are trying to above and beyond the natural demand, push volumes up. We are managing this, in my view, in a more careful way to also protect the integrity of the brand, not just on the ICE side, but also on the BEV side. And as I mentioned here at the beginning, we're just on the verge of a massive product launch here in the next 2 to 3 years on the electric side. So we will see our electric BEV-only sales once that product offensive comes to fruition, grow and especially important will be the vehicles in the core segment like the new electric GLC and the C-Class that we're launching in next year, and we'll have the full first year in the market in 2027 on a broad range of products. So here, intelligent management growth of xEV. With that, I switch to vans on Page 5. The van market was also affected by the current economic environment. In that economic environment, you will see that as we go into the Van figures. If you follow the Van segment as such, everybody is challenged. But I would say we're probably the best student in the class here. Not everybody discloses their financials in this case. But for the ones that do, you can see that they are significantly, significantly more challenged than us. That is not the call to be complacent and certainly not arrogant. What I want to do is to say kudos to the van team for managing this in a difficult circumstance. And that kudos actually goes to the whole Mercedes-Benz team. I've seldom been in a more dynamic environment in the auto industry than what we're expecting now. But everywhere I go in the company, I meet focused people, motivated people, people with a can-do attitude and looking forward to everything that we have in the pipeline, take the challenges and in an agile way, try to manage them. On the BEV side, to go back to electric vans, yes, we are growing, but it's also true that the BEV ratio of light commercial vehicles compared to what maybe regulators and many people thought 5 years ago is on a different level. Yes, we're super happy that we just signed probably the largest single order of e-vans with Amazon here recently with 5,000 units. It's a sign that our electric vans are very attractive, and next generation in the making, as I mentioned. But as part of the discussion that is happening in the industry with the EU and in this year, I also have the role of being the speaker of ACEA, the European Manufacturers Association. And you might have read the opinion piece that I put in the economist only a couple of weeks ago that now is the time to actually have a reality check here and have an honest and forward-looking conversation how we, in the European auto industry through regulation, create a better path towards decarbonization, and we are open for that conversation looking forward to it. With that, I would like to hand over to Harald, who's going to take us through the financials, please.
Harald Wilhelm: Thanks, Ola, and hello, everybody. Let's go back to the financials of cars on the Page 6. Ola, you took us already through the sales, so we explained that one. On the revenue side and the ASP side, we see the competitive market environment. And obviously, we go a bit deeper when we now look on the Page 7 on the EBIT and thereafter on the cash evolution. Page 7, EBIT evolution for cars. So let's have a look on the underlying business performance. If you adjust the quarter 2 for the tariffs, you are at 6.6% return on sales adjusted in the second quarter. That means a mid-3-digit million euro tariff impact in Q2. Including the tariffs, the return on sales adjusted is at 5.1%. So let me take you through the key effects, I mean, in that quarter. First, in volume structure net pricing, we see lower contributions overall from the China business. Then we see also the effect from the lower unit sales, some softer net pricing, lower used car business and costs related to CO2 compliance. And last but not least, as just mentioned before, the tariff impact. A part of the FX effect you see here on the chart is linked to Turkish lira for which we have pricing compensation. The remainder is mainly Chinese yuan and Korean won. If you look on the remainder on the chart, on the right-hand -- moving to the right-hand side, well, basically, you can see our efficiency program at work in all categories in material costs, in operations, in selling expenses, in R&D. We call that program NLP, Next Level Performance. And if you add up the numbers, it shows you an EUR 800 million contribution or improvement in that quarter, which equals roughly 300 basis points improvement in terms of ROS in the quarter. So you see, I think we're trying to do our homework. On Page 8, looking on cash evolution, we see adjusted at EUR 1.4 billion. What are the moving parts? Light headwind from working capital by a bit higher inventories, some favorable contribution from trade receivables, driven by lower volumes in BBAC, however, offset by lower trade payables due to lower production output at the same time. The net investments are only slightly above the depreciation level. And in the other buckets, you find the divvy of BBAC and the reversal of the equity result and as well the NLP personnel cost measures, which have not yet been cashed out. Page 9, over to the vans, same thing, sales explained already. So let's jump right away, I would say, to the EBIT and cash explanation, Page 10. So quarter 2, a healthy return on sales of 10.4%. That includes a small impact from the tariffs, but probably not worthwhile to mention here. What are the key changes compared to the quarter a year ago? In the volume structure pricing bucket, lower volume, partially offset by an improved mix and some softer net pricing and a higher leasing share as well as a bit of a lower aftersales business contribution. FX, same thing, as I commented before on cars. The industrial performance continues to support, driven by lower product-related expenses despite higher cost for CO2 credits. And in the other bucket, we see mainly the absence of prior year impacts. On the cash side, see a bit adjusted EUR 227 million. Net working capital, a bit of a headwind by inventory. The financial investments, the net financial investments reflect the sale of our business operations in Argentina. And on the net investments in PPE and intangibles, we see that they clearly exceed the depreciation. That's in line with the guidance as we continue to ramp up of our van architecture. So on the others, we also see positive cash effect from leasing and FBAC divi. On the mobility, the new business is driven obviously by the development of the sales volume on the industrial side and the situation in China, partially offset by a higher average financing and leasing volume per contract. The change in the portfolio is mainly driven by FX effects. On the EBIT side for mobility, we see EBIT adjusted at EUR 290 million or return on equity adjusted at 8.9%, a bit higher cost of credit risk due to a softer global economic outlook and improved portfolio margin, however, offset by a lower volume in Q2. And then as well here, you see on the right-hand side of the chart, improved cost position for SG&A supported by our efficiency measures. In the other bucket, you also see contribution from our financial investments in quarter 2. Without the expenses for the ramp-up of the charging business, the MBM return on equity adjusted would sit at a double-digit 10% return on sales. Looking at the group EBIT, Page 14, cars, vans, mobility, we explained the recon is negative mainly due to a lower equity result of Daimler Truck. EBIT adjusted at EUR 2 billion. What are the adjustments? Mainly the one-timer related to the restructuring charges from our NLP program, which reflects, I think, good progress we made so far. So we had a good start. If you bear in mind that actually we got started with it in June. And that means we have here in the quarter 2, as you see on the chart, EUR 560 million, which got recorded for the people who signed up already. And as we speak, we gained further traction on that program, which will yield further efficiencies in the future to come. On top, we see the adjustments for the M&A transaction related to the sale of our business operations in Argentina. Thereby, the group EBIT reported sits at EUR 1.3 billion. On the cash flow side, Page 15, we'll see the income taxes, the cash income taxes paid at minus EUR 350 million. The recon related to the Daimler Truck divi, which we cashed in, in the second quarter, and that leaves us with a solid cash flow on the industrial side of EUR 1.9 billion. Looking on the liquidity side, Page 16, the free cash flow we explained already before. The divi has been paid out with a EUR 4.30 in May, which is EUR 4.1 billion. And it means we generated in terms of free cash flow, EUR 4.2 billion, which fully covered the divi paid so far, and that leaves us with a very comfortable EUR 30 billion net cash position. Now let's turn to the outlook section, Page 18. As always, please consider the assumptions carefully, on the chart. Let's start with the cars sales guidance. So with 900,000 year-to-date units, we now see 2025 significantly below 2024, mainly due to China. We expect H2 sales in the vicinity of H1 with quarter 3 slightly lower and quarter 4 slightly higher. If we look on regions in the U.S., we see a stable underlying customer demand, looking at the retail side of things with H2 approximately same level as H1. In the group sales for the U.S. for the full year, we expect them to be slightly lower than the retails and the previous year as we manage stock levels to target. Any potential impact of U.S. trade policies on consumer sentiment needs to be seen. On Europe, we continue to see a robust sales performance, and we expect that also for the remainder of the year with a healthy customer order intake and a solid backlog taking us into quarter 4. On China, the macro side remains subdued and the competitive environment continues. We also see banks withdrawing high commission offers from the market, supporting pricing, however, affecting volumes so far. The global TEV share for the full year, we expect that to be between 14% and 15%, which means basically in H2, same level as in H1. And on the EV share, year-to-date, we are at 20-ish. So we continue to see that in the full year between 20% and 22%. On the return on sales side, return on sales adjusted for cars, in H1, we achieved a solid 6.2%, including tariffs. If you take out the tariffs, that leaves you with an underlying margin of 7% in H1. How do we see H2 compared to H1? Volume basically flattish. We see the current commercial dynamics to continue for the remainder of the year. We see some headwinds from material cost phasing due to one-timers in H2 and the more technical impact from fixed cost capitalization as we will reduce inventory towards the year-end. For the full year, we expect the underlying margin within the initial guidance range of 6% to 8% pre-tariff within the lower half of the band now even with lower full year sales. On the tariffs, we assume today's tariffs to stay for the remainder of the year, and we consider the EU-U.S. trade deal of Sunday. What does it mean? We still see the largest impact from deliveries from the EU to the U.S., mainly that affects new vehicle business and aftersales. Second to that is now Mexico to U.S. with parts still playing the biggest role here. Third is U.S. to China, mainly new vehicles, especially GLE and GLS. And then the remainder of the world in terms of deliveries into the U.S. as well, we take into account the relief from imports from the U.S. to Europe. If we take that all together, we now see the full year tariff impact at around 150 basis points for the full year compared to the 300 we said in quarter 1. However, uncertainty remains with regard to the effective date and the transitioning. This brings us to a new full year guidance range of 4% to 6%, including tariffs. Considering the tariff phasing, please note that the full year impact arises from only 3 out of 4 quarters with the respective impact on the run rate. Cash conversion rate is now expected to be between 0.8 to 1, including tariffs. No change on PPE and R&D. On the van side, sales, as usual, there is a stronger H2 compared to H1. However, due to a lower H1, we now see full year sales significantly below previous year level. xEV unchanged. On the return on sales adjusted, in H1, vans achieved a healthy 11% return on sales adjusted, well within the guidance range. And I think, as you pointed out, Ola before, outperforming competition. This included a small impact from tariffs in Q2. For H2 compared to H1, we see the following impacts: headwinds from seasonality of cost and the ramp-up of new factories in the context of the van architecture. For the full year, based on the new volume guidance, we do see the underlying performance 150 basis points lower. Assuming tariffs to stay where they are today for the remainder of the year and based on the recent Europe-U.S., EU- U.S. trade deal, we expect an additional full year impact of approximately 50 basis points. This leads us to a new guidance range of 8% to 10% for the full year, including tariffs. CCR unchanged, also including tariff impact, no change to PPE and R&D. On the mobility side, we come from 8.8% return on sales adjusted in H1. We expect the full year unchanged, guidance unchanged in the range of 8% to 9%, driven by a continuous positive impact from the portfolio margin in the second half of the year and a slightly higher cost of credit risk. On the group guidance, that follows obviously same assumptions as on the segment side. Following the adjustments of the divisional guidance, we now see the revenue significantly below previous year due to the sales development. We continue to see the group EBIT and free cash flow significantly below previous year, now including tariffs. Please consider the one-off charges from M&A and the efficiency program with more to come in H2 as an adjustment between the EBIT adjusted and the EBIT reported for the full year. Looking at the investments, 2025 will only be slightly above 2024 and will be the peak before we start to come down in 2026. However, the phasing of the investments is back-end loaded in H2 versus H1 in 2025. Taking that into account and the margin outlook, including the tariff impact in H2, cash generation in H2 will be impacted accordingly. This will leave us with most of the cash generation achieved in H1 for the full year. What does that mean with regard to capital allocation? Well, we just got more visibility on 2025. The divi paid in May is now fully covered by the free cash flow generated year-to-date. We stick to our capital allocation framework, which stipulates that cash flow earned will be paid back to our shareholders, and that means the cash to come from operations or M&A will be subject to that capital allocation framework. With regard to the Daimler Truck stake in Q1, we said that the partial stake sale is strategically on the agenda. Daimler Truck successfully held the Capital Markets Day, which was positively perceived by the capital market community. This reinforces our strategic perspective and approach on that topic. And with this, I hand back to Ola.
Ola Kallenius: Thank you, Harald. I would like to end this presentation by extending an invitation, an invitation to come and visit us at the International Auto Show in Munich in September. On Sunday, September 7, we will have the world premiere of the first vehicle of our so-called MB.EA, Mercedes-Benz electric architecture, that is the carrier of several new and important models in the core segment. From a modular point of view, this architecture is intelligently and fully flexibly integrated also on the modular side with the MMA architecture. We can, for this completely brand-new electric drivetrain that we have developed, use not only appropriate drivetrain components, but also more importantly, completely flexibly the different battery technologies that we have developed from state-of- the-art high energy density NMC to more cost-optimized LFP technology. And I think this is what's so unique with these architectures that they all fit in the same envelope and you have full flexibility between them, which is, I think, almost unique for any car company. But I cannot overstate how important it is that it's also the new era of MBOS, Mercedes-Benz Operating System. This doesn't only change the product, it changes the whole value chain in and around the product, how you produce the product, how you service the product, how you take care of the product in the market. So this is more than a new chapter. This is a new world for us. And here, we're already in series production. So we are delivering these vehicles to customers today. Needless to say, with the MB.EA and the first model on that new software architecture, software hardware architecture on the GLC, we will up our game again. So watch this space. You can look at MBOS. It's like a river that flows and never ends, and you can now add water to it. This now being fully over-the-air reachable and in production now. I don't know if I'm aware of a legacy maker, a legacy carmaker that actually has one of these in production now. Many are announced. We are in production now. And very rapidly, we will proliferate this through our complete product portfolio, not just the fantastic new electric cars that are in the pipeline, but this will find its way over to the ICE side as well. This will be busy times, hard work for our R&D team and production, of course, marketing and sales and the other support functions. But the ball has been kicked and the game is on now. So in rapid succession, you will see these products enter the market. So I think it's the most exciting time coming up for Mercedes here in the next 2 to 3 years in an environment that is also exciting, not for the right reasons in this case, but we will stay agile, and we will adapt to that environment as well to make sure that Mercedes stays the course. Thank you very much, and looking forward to your questions.
Christina Schenck: Thank you very much, Ola and Harald, also for the exciting outlook on what's to come. We will now move into the Q&A section of the call, and I will identify you by name and please make sure to introduce yourself with your name and the name of the organization that you're representing before you ask your questions. Just a few practical points. [Operator Instructions] Before we start, the operator will explain the procedure.
Operator: [Operator Instructions]
Christina Schenck: We start the Q&A and the first question goes to José Asumendi from JPMorgan.
José Maria Asumendi: A couple of questions. Maybe, Harald, can you talk a little bit about the impact of tariffs that you already outlined on the guidance, but a little bit more in the direction of which mitigation measures can you take in the course of '25 and '26 when it comes to price increases, further localization of products or any other measures you're building into that guidance? And second question, Ola, can you talk please about how Mercedes-Benz is positioned on Level 4, Level 5 autonomous driving? Who are your key partners? Where do you test the vehicles? And how do you strategically position Mercedes-Benz on the robotaxi race to be able to offer that -- also that premium package when it comes to safety?
Harald Wilhelm: Jose, on the tariff side, I mean, the guidance which we give here on 150 basis points is the direct tariff impact. As over time, I think it will be difficult to differentiate, I mean, any volume or pricing and therefore, I mean, net margin impact. So I think that is the visibility we want to give you here, 150 basis points, as I said, I mean, you could almost say half of that, I mean, is a lag Europe, I mean, to the U.S. and the remainder being spread. But rest assured that, obviously, we'll try to do each and every effort, I mean, on the commercial side. However, we're not commenting on the commercial policy and strategy here to mitigate and also as we announced, pursuing further low localization efforts as we commented already in the Q1. So we're looking at, I mean, everything in this respect, but nothing new to report on top of what we announced already.
Ola Kallenius: Jose, with regard to autonomous drive, you could say that in the last 4 years as one piece of MBOS, we have completely rewired the whole foundation of our ADAS strategy to introduce already now in the market with the CLA, an absolute state-of-the-art benchmark compute power sensing set and software stack. If you look at how you extrapolate that into the next 2 to 3 to 4 years, we are primarily focused on the individual personal use segment. So we think that Level 3 that we were the first OEM to introduce onto the highway here in Germany and also in a couple of states in the United States. So we have kind of planted that first flag on the moon now to look at what is happening on the regulatory side, how far in the next 3 years or so can we take Level 3 highway and then potentially into urban. Level 4 on an individual use case starts with parking, where we had already the first product in the market actually a couple of years ago to just experiment with it. But when GenAI entered into the frame and you can kind of rethink how you do the software stack, you can go to a complete end-to-end foundation model on top of the, let's say, 2 boxes that you have had up until now, one for perception sensor fusion, another box for planning and control. Now that you can complement this with GenAI and create really a holistic end-to-end foundation model, the game changes, but one thing doesn't change, and it's the ability to prove the safety case. And I think this is where our approach with our strategic partners, both in the West, but also in China, we will introduce it in a responsible way. But we have every single tool in our toolbox now to go anywhere. And should Level 4, Level 5 find its way into individual use cases in the foreseeable future, we can and will be in that game. But I do see in the immediate future, and that's what we're launching now, super sophisticated Level 2++ systems. And there's lots of shades of gray here, obviously, but kind of point-to-point navigation feels like fully autonomous, but you're still responsible. Then a growth of the Level 3 envelope and Level 4 parking, and then we will see where the journey goes. What we're not planning to do is to become a large-scale mobility provider competing with local transportation or taxis. We have no immediate plans for that at the moment.
Christina Schenck: Thank you very much, Jose. And I would hand over the next question to Patrick Hummel from UBS.
Patrick Hummel: I would have 2 questions for Harald, if that's okay. First one, Harald, basically, that sounds like you will resume the share buybacks in very due course because you covered the dividend, as you pointed out, with the H1 free cash flow. You haven't precisely guided the free cash flow. I hear you loud and clear that H2 is going to have a lower free cash flow, but I think you also probably did a bit better in H1 already than you had expected. So I'm just trying to guesstimate what the share buyback volume for the remainder of the year could be? Is a range of EUR 1 billion to EUR 2 billion realistic for the last 5 months of the year? And my second question is regarding the margin guide in cars. You kept the 200 basis points range, 4% to 6%. But now we do have more or less clarity on the tariff outcome. I'm just wondering under which circumstances we would even see the low end of that range at 4% because applying your logic, it sounds like we should end up at least at 5%. Is that 4% for whatever may get worse in China? Is it for a non-timely implementation of the tariff deal? What needs to happen to see the 4% as an outcome?
Harald Wilhelm: Yes. Thanks, Patrick. With pleasure. I'll take the 2. So I mean, number one, yes, I think cash generation demonstrated to be pretty strong in H2. Definitely, we'll take it with that spirit, I mean, into H2. At the same time, I think I explained before that, I mean, the investment profile is more backloaded. And at the same time, with the margin outlook and the tariff impact impacting H2, that means cash generation that will definitely run at a lower end in H2. I also commented that quarter 3 sales will be lower than the quarter 4 sales, I mean, to come, which also impacts the cash phasing in the remainder of H2. Therefore, I think you hear a bit of a more cautious approach in terms of the cash generation on the operational side for the remainder of the year. At the same time, I think I also commented that any M&A proceeds, whatever they're coming from, are also subject to the SBB framework, capital allocation framework. So in a nutshell, cash generated in H2, wherever it comes from, clearly, I mean, we will consider. But the profiling, I think, rather suggests that this is more back-end loaded towards the year rather than short term. Point number two, on the margin side, well, I commented 7% underlying in H1, a bit of a headwind in H2 underlying, as commented before on cost phasing. So I think that suggests a number which is a bit lower than the 7%, right? So if you add up the 2 numbers and you divide them by 2, it gives you, I think -- you end up, I mean, with a comment on the guidance range in terms of sitting in the lower half of the band. And then you take the 150 basis points off and here you go. At the same time, we need to say, I mean we don't have details at this stage in terms of, I mean, the transitioning to the new regime, the one which has been agreed on Sunday, details are yet to come out on that, I would say. And that's why I think at this point in time, it is sensible to have a broader guidance range in terms of the 4% to 6% and rather having a too narrow one. That is the back of it.
Christina Schenck: Thank you, Patrick. And I would give the next question to Tim Rokossa from Deutsche Bank.
Tim Rokossa: Ola, to you probably first. Now that the EU deal is hopefully done, can we expect another more car-specific deal to follow on top of the one with the EU. You sounded pretty optimistic on this in the past. We know that you are very engaged with the discussions with the Trump administration. Will this include some form of export or investment credits, for example, in your view? And secondly, Harald, I'm sorry, I have to follow up on this again, but you are responsible for making this a very integral part of the Mercedes story, the buyback program. What's really preventing you from launching it now? I mean you clearly -- you are always of the view that your stock is undervalued, certainly right now. You have generated enough free cash flow. Why don't you just start buying back the stock? And in that context, how should we think about the truck stake as well, which has done pretty well?
Harald Wilhelm: Tim, we have been extensively engaged in the conversation that has been going on between the United States and the EU as a thought partner to the political decision-makers. In the final hour, as you could see on Sunday, the 2 parties decided for a broad-based relatively clear and simple deal, the 15% in the one direction and as far as cars is concerned, 0% in the other direction. Some areas were left out where I think there is discussion to be had if you read what the different parties say, steel pharmaceuticals, maybe stuff on the digital side. But for all intents and purposes, that global deal for now is it. If it is possible to complement that with additional, I don't know, sector- specific or even company-specific amendments, I would say at this point, that is very uncertain. It's not something -- if it is possible, certainly, we would try, but it's not something that I would, at this stage, calculate with in our plan going forward.
Ola Kallenius: Yes. And on the capital allocation framework, I mean, very happy to hear that. I mean, it's that much appreciated by the community. And you heard clearly before that we are committed to it. I think I commented on the cash generation, the free cash generation from the operational side of things in H2. I don't need to repeat that. So, so far, the cash generated this year pays the divi, which has been wired in May, right? So basically, that part is achieved, accomplished. And that means any cash yet to be generated in the second half of the year. I mean we will look at that for SBB activity. You heard that, H2 cash generation is definitely lower. Any M&A would be part of the envelope of the policy of the framework. And I think consciously, we reminded, we repeated our statement on the Daimler Truck stake in terms of strategic agenda, but also in terms of DT progressing with the CMD. And any proceeds which would be accomplished, I mean, from M&A or by DT stake definitely would support cash generation, and then we'll have a look at that. But maybe this is a bit more back loaded in the year than right now.
Christina Schenck: Thank you, Tim. I would move on to Tom Narayan from RBC.
Gautam Narayan: The first one for Harald, on the tariffs, I appreciate the commentary there, the triple-digit million so far, 150 basis points for the full year. Some other OEMs have disclosed a little more specific amounts or at least on quarterly cadence. Just wondering if you could help us dimensionalize the tariff impact on a quarterly cadence basis? Does this increase per quarter in the back half? And obviously, it incorporates the trade deal. Just hoping for a little more color on how we should think about it on a quarterly basis. And then the second one is a follow-up to Jose's question. There's a lot of news on Tesla being trying to get approval -- regulatory approval in Europe with unsupervised FSD camera only. I mean we'll see if it happens. The rest of the industry is embracing multisensor LiDAR, radar, et cetera. In the event Tesla is able to get regulatory approval in Europe, would you consider exploring a similar camera-only approach? Or is it kind of a different customer demo and LiDAR and camera prices coming down?
Harald Wilhelm: Tom, on the tariffs, I think I said on quarter 2, that's a mid- 3-digit number. Look on the chart, you find the detailed impact even if you calculate 6.6% underlying in the second quarter compared to the 5.1% including tariffs. So that's 1.5% sitting there in the second quarter. If you take that amount, that will be roughly same order of magnitude in quarter 3, and then it will be a higher number in quarter 4, still being in the mid-3 digit, but higher mid-3 digit than quarter 2 and quarter 3. I hope that clarifies.
Ola Kallenius: With regard to ADAS, let's take a look at what we have now and what we believe is necessary for what you're describing. To do Level 2++, which is super sophisticated and it kind of feels like a Level 4 systems in most cases, except for when it's not. And this is the whole point of ADAS going towards Level 4, the tail end of the corner cases is a very, very, very long tail end. To do a robust Level 2++ system in our humble opinion, and we're launching it now with the CLA requires 27 sensors. That is a mix between cameras. Of course, that's the main road, radars and ultrasonic sensors. If you want to go beyond Level 2++ and you want to go to Level 3 and certainly, if you want to go to Level 3 urban and the journey to Level 4, I know it's a little bit shades of gray, and you could have a long conversation about what is what. We believe you need additional sensor redundancy. That is where the LiDAR would come into the picture as we have it today on the S-Class and the EQS for our Level 3 highway system, because there can be circumstances where for a split second, a camera can be blinded. And in that split second, no matter how unlikely it is, something comes in the way of the vehicle. We do not believe that it would be sensible for Mercedes-Benz to -- when you pursue those higher levels to not use the sensor redundancy. That is our firm belief. With regard to the European regulator that we have been working with for -- I don't know if there was a European regulator in 1886 for horses. But if there was one, I'm sure we worked with him when we did the first car, and we have been working for decades with the European regulator to try to convince them that the incredibly sophisticated technology that we have that we deem as safe when used appropriately can also be deployed in Europe. But as we sit here today, we're not even allowed to deploy Level 2++. If the EU regulator changes their mind and we will encourage them in a safe manner to allow these technologies as they're allowed in China, for instance, then we will certainly be there. If you want to dig deeper into what it takes to weed out the corner cases of Level 4, I would suggest you have a longer conversation also with a company that is active with a robotaxi service in California, speak to them.
Christina Schenck: And my next question goes to Stephen Reitman from Bernstein.
Stephen Michael Reitman: Sorry, can you hear me now?
Christina Schenck: Yes, we can Stephen.
Stephen Michael Reitman: Yes, on the U.S., please, 2 questions. First of all, now we have some much better visibility on the level of tariffs. Could you now maybe just think about your thought process about mitigation, particularly in terms of pricing now? I think, obviously, we understand how all the manufacturers are reluctant to provoke the administration with price increases before there was some better visibility. But now we actually have this. What are your thought process on that? And secondly, with the -- seems to be a very progressive dismantling of emissions regulation in the United States, what does that implication have for your strategy in the United States in terms of maybe pushing more of your ICE vehicles in your overall mix? How do you see that?
Harald Wilhelm: So yes, Stephen, as commented before, so I think we outlined the direct tariff impact as we see it based on the most recent events and commented more in detail in the questions thereafter. Again, in terms of commercial policy, I mean, we're not commenting that. Definitely, I mean, we'll see where we have elasticities we can make use of in the market, in which areas, in which products. And obviously, at the same time, we need to see, I mean, the demand side of things and how consumer community is going to respond to the new situation and, I mean, the setup and what competitors are doing in this respect. Therefore, rest assured, I mean, we're spot on, on that. But no further commentary, I think, I mean, at this point. Globally, we see the U.S. in a healthy state in terms of underlying demand, as commented before. On the retail side, we see definitely further opportunities moving forward with a great product lineup to come into the U.S. So clearly, we see U.S. as a growth opportunity and want to capture that moving forward. We'll be competitive on the product side, on the commercial side of things, at the same time, pursuing globally the localization as we announced during the Q1.
Ola Kallenius: Stephen, your questions around emissions. The way we read the so-called big beautiful deal is whereas they have not yet, to our knowledge, presented the exact new CAFE standard going forward. The text of the big beautiful deal in our interpretation says that should you not meet that standard that is yet to be determined, your penalty is 0, which means the whole credit and that whole system that we have been seeing for years or decades, I don't know how long we have been in that, kind of disappears. What would be our approach to the market? Our approach to the market is, and I think this is a good thing, certainly for the customer, is the market forces decide. So we have a full-fledged portfolio going forward. Yes, we have super attractive high-tech electrified ICE cars that will be kept with state-of-the-art technology. MBOS will find its way into the ICE cars as well and so on and so forth. We have successful long-range plug-in hybrids, kind of been a little bit of a renaissance of that in the U.S. market recently. So I think we're good position there. Here, we are probably the leading premium luxury manufacturer in that segment in the markets where it's most relevant. And then we have the fireworks of battery electric vehicles. So in spite of the announcement that they would take the 7500 credit away, we don't believe that the BEV demand in the United States goes to 0. We still think that the medium- to long-term adoption rate of BEVs in the U.S. will creep upwards. Maybe it will creep upwards slower than if the previous regulatory trajectory had been kept in place. But nevertheless, we believe in the mid- to long term, it will creep upward. So we have an all-of-the-above offering, and we will let the market forces decide what the take rate will be and are looking forward to delighting our customers in the United States and also look at the United States in the long term as a growth market, obviously, as Harald just said.
Christina Schenck: Thank you very much, Stephen. Thank you very much, everyone. This concludes our Q&A session. Thank you to both of you, Harald and Ola, for answering the questions. And of course, as always, Investor Relations remains at your disposal to answer any further questions that you may have. And now to all of you, have a great morning, a great afternoon and a great evening. Thank you, and goodbye.